Operator: Good day, ladies and gentlemen, and welcome to the Superior Plus 2018 Fourth Quarter Results Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call may be recorded. I would now like to introduce your host for today’s conference, Mr. Rob Dorran, Vice President of Investor Relations and Treasurer. Sir, you may begin.
Rob Dorran: Thank you, Daniel. Good morning, everyone, and welcome to Superior Plus' conference call and webcast to review our 2018 annual and fourth quarter results. I'm Rob Dorran, VP IR and Treasurer. Joining me today is Luc Desjardins, President and CEO; Beth Summers, Executive VP and CFO; and Darren Hribar, Senior VP and Chief Legal Officer. For this morning's call, Luc will start with some opening remarks on the fourth quarter and our 2018 accomplishments. And then Beth will provide a detailed review of our financial results for the fourth quarter and 2018 as well as an update on our 2019 guidance. Following their prepared remarks, we will open up the line for questions. Before I turn the call to Luc, I'd like to remind you that some of the comments made today may be forward-looking in nature and are based on Superior's current expectations, estimates, judgments, projections and risks. Further, some of the information provided refers to non-GAAP measures. Please refer to the annual MD&A posted on SEDAR and on our website yesterday for further details on forward-looking information and non-GAAP measures. I would also encourage listeners to review the MD&A, which includes financial information for 2018 and the fourth quarter as we won't go over each financial metric on today's call. This will allow us to move more quickly into the question-and-answer period. I'll now turn the call over to Luc.
Luc Desjardins: Thank you, Ron, and good morning everyone. Overall, I am very pleased with our record fourth quarter and full year 2018 performance. The fourth quarter adjusted EBITDA of $153 million was 40% higher than the fourth quarter 2017 and the 2018 adjusted EBITDA of $374.3 was 26% higher than 2017. We finished at the higher end of our guidance range for AOCF per share and adjusted EBITDA consistent with the announcement of our preliminary result expectation on January 22nd. The Energy Distribution business achieved record EBITDA of $265 million in 2018, primarily due to the contribution from NGL Propane acquisition completed in July 2018. In 2018, we made great progress on the integration of Canwest Propane and we are ahead of schedule on the run rate synergies. As a result of our progress and work so far, we increased the final target of $20 million in run rate synergy by $1.5 million. The NGL Propane integration is also going well. We have realized $3.6 million in synergy in quarter four 2018 result and exist the 2018 with a run rate synergy for 2019 of $10 million. In addition to the transformational acquisition of NGL Propane, we also completed six tuck-ins in 2018 for a total consideration of $115 million. Four of the tuck-in acquisition included retail propane distribution assets under Eastern U.S. footprint and are anticipated to generate operational synergy to implementation of our Superior operating platform. We also acquired a wholesale propane business in California operating under the trade name in United Pacific Energy, which provides us with opportunity and a large attractive good propane market in California. We sold our wholesale refined fuel assets and business as well as certain retail leading oil assets in the Northeast USA in the second quarter of this past year. We are focused on growing our propane distribution platform in the U.S. and the divestiture of these assets enabled us to redeploy the capital into higher margin propane distribution assets where we have a fantastic business model. We also sold certain propane assets in Western Canada as we acquired by the Competition Bureau related to our acquisition of Canwest. After the acquisition of NGL Propane and the six tuck-in companies in 2018, our energy distribution business is well diversified across North America geography and customer segment. We are the largest propane distributor in Canada, the fourth largest propane distributor in the U.S. based on sales volume. We also developed an industry leading integrated digital platform providing our customer with real time data on their tanks level and delivery and providing us with the technology to improve customer service and be more efficient on the cost side. The Specialty Chemicals business achieved a record EBITDA of $137.6 million in 2018, primarily due to the improved chlor-alkali results including caustic soda hydrochloric acid. Caustic soda and hydrochloric acid pricing and sales volume improved in 2018 compared to 2017 driven by stronger markets fundamentals and increased demand in the oil and gas sector, especially in this space. The improvement of the chlor-alkali more than offset the decrease in sodium chlorate gross profit due to lower contracted sales volume and higher average electricity mill rate. Specialty Chemicals EBITDA from operation has already improved $28 million compared to 2016, which is at the high end of our Evolution 2020 target related to recovery of chlor-alkali markets. I will now pass the call over to Beth for a discussion of the fourth quarter financial results and our 2019 adjusted EBITDA and leverage guidance.
Beth Summers: Thank you, Luc, and good morning everyone. To follow-up on Luc's comments, the fourth quarter and 2018 results were at the high end of our guidance and higher than prior year, driven primarily by the contribution from NGL Propane and colder weather. Fourth quarter adjusted EBITDA was $153 million, a $44 million increase compared to the prior year quarter. This was primarily due to the contribution from NGL Propane and a decrease in corporate costs, partially offset by a realized loss on foreign exchange compared to a gain in the prior year quarter. Fourth quarter consolidated adjusted operating cash flows per share before transaction and other costs was $0.76 per share, which was $0.07 higher than the prior year quarter. This was primarily due to the increase in adjusted EBITDA and the recovery on income tax, partially offset by an increase in interest costs and weighted average shares outstanding related to the financing of the NGL Propane acquisition. Turning now to the individual business results. Energy Distribution, EBITDA from operations for the fourth quarter was $129 million compared to $81.3 million in the prior year quarter, a $47.7 million increase primarily due to higher gross profits, partially offset by higher operating expenses. Gross profits were higher than the prior year, primarily due to the incremental contribution from NGL, partially offset by weaker wholesale propane market fundamentals and the impact of the divested wholesale distillate assets and business, certain retail heating oil assets and propane distribution assets related to the Canwest acquisition. Canadian propane distribution gross profit increased $1.9 million primarily due to the contribution from the UPE acquisition partially offset by weaker wholesale market fundamentals, lower oil fields volumes, and the impact from the sale of propane assets related to the Canwest acquisition. Sales volumes increased 124 million liters driven primarily by incremental volumes from UPE partially offsets by a decline in oil field volumes related to reduced activity in western Canada. Average margins were $0.153 per liter compared to $0.18 per liter in the prior year quarter. This is primarily due to the increased proportion of wholesale volumes and the impact of weaker wholesale propane market fundamentals. Retail propane margins, which include all lines of business except wholesale, were modestly higher than the prior year. U.S. propane distribution gross profit was $80.3 million higher than the prior year quarter due to incremental sales volumes from the NGL and tuck-in acquisitions, partially offsets by the sale of the wholesale and retail refined fuel assets in the second quarter. Sales volumes were 22 million liters higher primarily due to the 193 million liter increase in residential volumes related to NGL and the tuck-in acquisitions, partially offset by the decrease in wholesale volumes related to the divestiture of the business. Average margins were $0.34 per liter, an increase of $0.198 cents compared to the prior year quarter, primarily due to the impact of the sale of the wholesale business in the second quarter and the contribution from NGL and the tuck-in acquisitions, which have higher margin residential and commercial customers. Other services gross profit increased $7 million compared to the prior year quarter and this was primarily due to the contribution from NGL. Operating expenses were $139.4 million in the fourth quarter, a $41.5 million increase compared to the prior year quarter, primarily due to incremental expenses from NGL and the tuck-in acquisitions, partially offsets by the divestiture of the wholesale distillate business and realized synergies from the Canwest integration. Turning now to Specialty Chemicals, EBITDA from operations for the fourth quarter was $33.3 million, a decrease of $2.2 million compared to the prior year quarter driven primarily by lower sodium chlorate gross profit and higher distribution expenses partially offset by higher chlor-alkali gross profit related to the positive North American chlor-alkali market fundamentals as compared to 2017. Gross profit was $2.8 million lower than the prior year quarter, primarily due to a decrease in sodium chlorate sales volume and an increase in electricity mill rates, partially offset by an increase in chlor-alkali netbacks for most products. Caustic soda sales volumes and average netbacks improved 6% and 17% respectively over the prior year quarter, due to the significant chlor-alkali market recovery that occurred throughout 2017 and continued into 2018. HCl, sales volumes decreased modestly compared to the prior year quarter with a significant drop off in oil and gas activity experienced in late Q4 2018. However, average HCl netbacks increased 30% reflecting the market recovery over the past two years. Selling, distribution and administrative costs of $38.1 million in the fourth quarter were $1 million higher than the prior year due to higher distribution costs. Lastly, the corporate results and the 2019 guidance. Corporate costs were $3.4 million lower than the prior year quarter, primarily due to a decrease in incentive plan costs related to the decline in the share price at the end of the quarter. Superior had a realized loss on foreign currency hedges of $4 million compared to a gain of $1 million in the prior year quarter due to the lower average effective hedge rate in 2018 and the weaker Canadian dollar compared to the prior year quarter. Interest expense was $12.1 million higher than the prior year quarter, primarily due to increased debt levels related to the financing for the NGL transaction and tuck-ins and a modest increase in effective interest rates. On Superior’s debt and leverage, at December 31, 2018, the total debt to adjusted EBITDA leverage ratio was 4.1 times, which was within the range of 3.8 to 4.2 times guidance. Total debt to adjusted EBITDA increased from 3.7 times at September 30, 2018 due to higher average debt levels, primarily due to the acquisitions of UPE in Moscow, higher net working capital requirements and the impact of the weaker Canadian dollar on the translation of U.S. denominated debt. Working capital is at the highest levels during the fourth and first quarter due to the increase in accounts receivable inventory related to the winter heating demand. We're focused on reducing our debt to EBITDA ratio and we anticipate the leverage will be in the range of 3.6 to 4x at December 31, 2019. Leverage is anticipated to improve primarily due to a reduction in debt as cash generated from operations is used to repay debt. We're confirming our 2019 adjusted EBITDA guidance range of $445 million to $495 million, which is a 26% increase compared to our 2018 adjusted EBITDA based on the midpoint. As previously communicated, we're no longer providing AOCF per share guidance, which is consistent with our peer public reporting issuers that provide guidance. We’ll continue to provide AOCF and AOCF per share figures for comparative purposes and management uses this metric to measure the business. Energy Distribution EBITDA from operations for 2019 is anticipated to be higher than 2018 due to the impacts on the full year results of NGL, the expected synergies from NGL, anticipated incremental synergies from the Canwest integration and the full year results from the tuck-in acquisitions completed in 2018. Specialty Chemicals EBITDA from operations for 2019 is anticipated to be consistent to modestly lower than 2018 as chlor-alkali gross profit is expected to be consistent to modestly lower and sodium chlorate gross profit is expected to be consistent. As disclosed in our fourth quarter earnings release, we expect to update the adjusted EBITDA and leverage guidance after the first quarter incorporating the impact of IFRS 16. Based on the mid point of 2019, adjusted EBITDA guidance on a preliminary basis IFRS 16 is expected to positively impact adjusted EBITDA by approximately 5% in 2019. IFRS is expected also to increase total debt by the end of 2019 by approximately $150 million primarily due to the inclusion of rail car leases previously treated as operating leases and excluded from debt. I'll now pass it over to Luc for some final words before we move to our Q&A. 
Luc Desjardins: So I would like to conclude on this point that by highlighting management capacity to execute on promise synergy has proven by the Canwest execution and all the NGO, which is marching on very well. So on that, I would just like to turn the call over to Q&A. 
Operator: [Operator Instructions] Our first question comes from Jacob Bout with CIBC. Your line is now open.
Jacob Bout: All right, good morning.
Luc Desjardins: Good morning.
Beth Summers: Good morning.
Jacob Bout: I had a question about the sustainability of margins and the energy distribution side. Clearly, you've got a function of mix happening in the quarter, but that $0.34 cents, I guess, per liter, how sustainable is that?
Beth Summers: Yes, from our perspective and roughly that $0.25 U.S. is a good identification of what you could expect going forward. So once you convert that to sort of Canadian currency, roughly that $0.34 to $0.36.
Jacob Bout: Okay. And I had a question here on the specialty chemicals side, specifically on the chlorate. So I guess we heard from a competitor yesterday talking about one of their customers, Georgia Pacific shutting in. What type of impact in the industry are you seeing as a result of that? And how competitive is the chlorate pricing right now?
Luc Desjardins: Well, 2019, the capacity from the customer that's been taken away, we don't know to what degree that amount will be produced by somebody else in America because now – they're going to continue to make the finished product, so it's not the total volume going away. It's volume being shift from them producing it to have somebody else producing it for them. So we don't know who and how that’s going to shift on the total. But we're in a good position. We see chlorate. We have 16,000 ton additional volume in 2019 compared to 2018 as a result of new customer gain. We have as many of you know over the history of ERCO smart, which is a service that helps customer to be a lot more efficient and how they mix their chemical. This is a pattern and product that we offer. That service on customer we always had doesn't give them an incremental improvement that as we find new customer in south of Europe, international market or in this case some in North America where they see that we can prove to them, we can make them more efficient in their mix of chemical. Also when you look at our business and our engineering group, an ERCO group, a very, very strong core competence of looking at all our equipment and all our plant, we have a full time many engineer that are very expert in rebuilding equipment. They build plant around the world. I don't know how many of our competitor have that I know probably none. And those people go around everyone of our plant every quarter and make sure they fix all the production efficiency and they look ahead of time by years, ahead of time and make sure we're always covered to make sure there's less repair and we're very reliable. So we became a more and more focused reliable supplier. And with this new volume in 2019, it would help to us achieve efficiency and the 96 plus range of production of plant utilization. So a good machine, very well maintained, very well roaded makes us solid, sustainable, a bit more volume in 2019, so it covers, certainly gives us a little bit of a lift on the profitability because of new volume.
Beth Summers: Yeah. And I think another fact that I'll just add to that is when you think about the North American industry as a whole, it's been operating at roughly 95% of installed capacity since that closure of the Valleyfield Quebec plant. And if you think of the Port Hudson plant closure that would likely reduce rates by a sort of in that range of 1% to 2% as we went forward just to give you a sense of the size of that closure on the overall market.
Jacob Bout: So the guidance you gave on the chlorate side is that flat margin or just flat overall gross profit?
Beth Summers: Fundamentally from a chlorate perspective going forward, the best way to think about it is there's increased volume in chlorate as a result of the contract that Luc just talked about. And then the offset to that would be there are increased prices, but there's also increased costs. So overall from a margin perspective, think of that as being more consistent year-over-year.
Jacob Bout: So, Luc, prices still haven't caught up with higher electricity prices in 2019.
Luc Desjardins: That's right.
Jacob Bout: Okay.
Luc Desjardins: That's correct.
Jacob Bout: I'll leave it there. Thank you.
Luc Desjardins: Very thank you.
Operator: Thank you. And our next question comes from Steve Hansen with Raymond James. Your line is now open.
Luc Desjardins: Okay.
Operator: Steve, please check your mute button.
Steve Hansen: Good morning, guys. Can you hear me?
Luc Desjardins: Yeah, okay.
Beth Summers: Yeah.
Steve Hansen: Loud and clear, sorry. Just two quick ones from me if I may. This one is on the pace of tuck-ins for this year. I apologize if I missed it earlier, but I know you focused a little bit on your leverage – deleveraging comments. Just trying to get a square way, what kind of opportunities you see on the tuck-in side this year and what we should expect?
Luc Desjardins: The pipeline is very good. I think we continue to see that our three big player in the states MLP type are not acquiring or not acquiring much and haven’t done much recently. So we do have a good pipeline in the East Coast, a couple in California. We think we'll do six to eight in 2019 and very good business. And of course when they're in their East Coast, there'll be lots of synergies.
Beth Summers: Yeah. And the way to think about that, if we were to complete 70 to 100 million of acquisitions and use that from the bank line, finance it that way, we'd be towards the higher end of that leverage range. And then with no tuck-ins think of it to be closer to the lower end of the range.
Steve Hansen: Okay, that’s very helpful. And just maybe a follow-up question on the synergies that you've obviously been very successful on the Canwest side. I noticed that the number you've targeted for third quarter 2019 actually looks even more significant than I would have thought. But I'm just trying to get through your read on how that translates now into NGL, recognizing it's still earlier days, you still have this target in place for full year 2019. But are you feeling better today about the synergy opportunity in NGL now that you've had it under your belt for a while? Or can we think about possibility of upside there? Is it still too early?
Luc Desjardins: No, it's not too early because we're in the weeds, and we – one thing that you could take for granted in this corporation and my career is we execute extremely well. We do have a business model that's more efficient than everybody we looked at in the propane industry. And that business model makes us more efficient on the internal growth, makes us more targeted by segment to offer different – offers in different segments because they don't need all the same way to be serviced and information. And then when you look at operational costs, when you become more efficient than we'd be – we have a machine that's really, really efficient. So when you look at that and you apply it to due diligence of NGL, we said, wow, all right. We can see 20 million quite solid here. So we don't make promise that we don't execute on, so let's go out and do that. Then you get into the operation and a lot of communication visit and a big project of integration that best of class, how we do that and we have the model to do that now. And we've had a full – half a day review this week before the board to really confirm one more time, 10 millions already running for 2019 out of 20. And when we look at the other 20, we could give you by branch of 150 branch by region exactly who, we’re out. We're going to bring the efficiency up and the fill rate up and what does that mean? And, the 10 million is solid, solid. If you say, you think Luc it's 10 plus, I would say yes.
Steve Hansen: Very helpful. Thanks guys.
Operator: Thank you. And our next question comes from David Newman with Desjardins. Your line is now open.
David Newman: Good morning.
Luc Desjardins: Let’s call it Desjardins.
David Newman: Desjardins, yeah.
Luc Desjardins: Yeah, me too…
David Newman: That’s just your last name, right.
Luc Desjardins: All right.
David Newman: And supply management that you guys have mentioned a slide to the weak market fundamentals, maybe a bit more color. And what I'm thinking is that I'm looking at the differentials between Edmonton [indiscernible] Edmonton Conway, do you think they have widened. So maybe just – just maybe some flavor on what's going on in the weak market fundamentals and can you monetize the differential in those markets?
Beth Summers: Yeah, from the widening differential, yes. That would result in increased EBITDA numbers. The challenging market fundamental that we would have seen in Q4 is actually the decline in the propane pricing. So when you see the decline in the propane pricing, it has an impact on our inventory as they get revalued in addition to that the impact on in-transit inventory on the protein side. And then there's sometimes some impacts with respect to some financial swaps, et cetera, but it's that declining propane price that had the largest impact in Q4.
David Newman: That makes sense.
Luc Desjardins: And what’s really – when you think of it with such a difficulty to have a better margin on the supply side on propane and our result, you have to say, wow, what a solid sustainable business that is. Because it's probably – since I've been here at the lowest of the last seven, eight years since I've been here and our results are good. So…
David Newman: Yeah, I know for sure. And did you realize any arb on those markets in 4Q? Or is that more of a 1Q commentary? And now that you have UPE in the mix, does that also allow you to effectively arb because you have another market that you can or how does that work?
Beth Summers: The biggest benefit from UPE is around synergies and where UPE where they were previously sourcing propane from Canada. Now, we can supply it through our SGL business. So that drives synergies and owning UPE. I mean there are other arbs in place which through time we will benefit from. But I think from our perspective, looking forward to next year, we'd anticipate from a differential perspective, similar levels to what we saw in 2018.
David Newman: Okay. And CAD0.15 and change, that's also, I know that Jacob mentioned about U.S., but the CAD$0.15 or so, that's also a sustainable number.
Beth Summers: Yes. That's CAD 0.15, if you look at it based on Q4, I mean the primary driver there is the incremental wholesale coming out of the UPE acquisition.
David Newman: Yes, for sure.
Beth Summers: So if you look at it going forward, I think a good range now is that $0.14 to $0.17 going forward.
David Newman: Okay.
Luc Desjardins: I’d like – Dan, I’d like to repeat that point that from our commercial – everything we distribute to every segment of the market, margin are sustainable solid. So the mix, 500 million liter of the U.S. UPE, so when you take that and you add it to our Canadian business, then you have a lower margin there, but there's no erosion of our business margin.
David Newman: Right.
Luc Desjardins: Just to be care, all right.
David Newman: Right. And then last one from me guys is I noticed in the – sequentially that your cash tax forecast actually came down about $10 million. So now you're sort of projecting 5 to 10 versus 15 to 20. So what's the dynamic going on there?
Beth Summers: Yeah, and that's primarily driven by the regulations and how once they've been clarified, how they applying to BEAT tax, that's that base erosion tax from the U.S. So as we look now to next year, we're forecasting less BEAT tax. That's the primary contributor to the difference.
David Newman: Very good. Good results guys. Congratulations.
Beth Summers: Thank you.
Luc Desjardins: Thank you.
Operator: Thank you. And our next question comes from Nelson Ng with RBC Capital Markets. Your line is now open.
Nelson Ng: Great, thanks, and good morning everyone.
Luc Desjardins: Good morning.
Beth Summers: Good morning.
Nelson Ng: So the weather was obviously – was helpful in Q4. Can you talk about how the weather has been in Q1 and I presume it's been quite favorable today.
Luc Desjardins: It depends. So in Q4, and it's a good question because half of our game is not weather related, the synergy and the business improvement and margin improvement, so –and the half is weather related and I'm talking about the U.S. So in Canada, quarter four, if you take today we're half western Canada and half eastern and then the west was extremely warm and then the east were cold. So the picks of the two is about mining – you'd say equal. There's no real gain in weather in Canada in quarter four. This particular quarter we're just starting. So help – Canada looks good I think from a weather and we're in February, so we don't have much in the full quarter and it started a bit warmer in the Northeast – Northeast for the U.S. But then February as of a week ago just took off a bit. So I would probably venture to say whether we can predict whether I can, but so far if you think quarter one how does it look, we'll probably recapture in February what – what the low – warm weather was in the Northeast USA. So I would say we'll probably be on the average in quarter one. And taking consideration that the effect of the weather in Canada being east and west, it becomes – there'll be less variance I think overall in Canada and we have different segment of business, so it's kind of becoming more average and more closer – and less variance. While as in the States were – what we acquired, with great margin and great growth opportunity for us is more residential business. So the north – the U.S. business will be more effected by weather.
Nelson Ng: Okay, got it. And then, my next question is, in terms of the guidance for $120 million to $140 million for maintenance growth CapEx and operating leases, Beth can you provide a bit of a breakdown in terms of the three items?
Beth Summers: Yeah, so to break it down and I think – so from a maintenance capital's perspective, think of pure maintenance CapEx from roughly $55 million to $60 million. But I think it's also good to think about the leases also within that number and the leases were forecasting to be roughly $20 million to $25 million and they're primarily fleet. So they really are somewhat maintenance in nature to the propane distribution business. So that would be the large maintenance piece. And then the gross CapEx, that’s $45 million to $55 million, which is the growth in nonrecurring CapEx, so it's systems spend, et cetera. That builds to your $120 million to one $140 million.
Nelson Ng: Okay, got it. So you're saying that some of the lease costs are included in maintenance CapEx?
Beth Summers: Yes.
Nelson Ng: Got it, okay. I guess, my last question relates to just California. Luc, you mentioned that you are looking at a fewer opportunities in California. Could you just talk about some of the dynamics in terms of like being a wholesaler in California versus kind of looking at opportunities. And I guess whether your customers mind that you might potentially be competing with them? Like how does that dynamic work? 
Luc Desjardins: No, if you, I was saying to the board this week, if you go back 10 years ago, people were more concerned about the supply and are you a competitor in the end market and the market in most industry has moved to – we don't compete on the supply side. We compete in the marketplace. So – and very good solid business. We're very, very pleased with the acquisition. We went to the California market. We just had a study, a couple of studies, and one that came in recently to confirm how solid the market is. And there's like 300 or so independent distributor in California. Our wholesale business, which is located south, middle, north of California, it's really – it's the best supplier of that California market. So you're not playing with – not trading business, you have storage, and those different distributors, 115 of them, they come to our location, which are closer to their end market and where they are to get the propane, the long history of that. So when you think of those 115, let's say they get 80% of their supply from us and the top five are pretty much that. We have 115 distributors that we can acquire that will not go anywhere else, actually they buy 80% from us, they do work hard, they'll buy 100%. So we have a third of the market that there's absolutely zero conflict and then the other 200 that would say and I’ve touched that and it's really not for them a big issue. We know that they will not be – and we've talked to many of them and we know they won't be an issue to get supply because for them – I don't want to drive a 100 mile to get my supplies and you have a big storage like 20 miles away or 10 miles away and I want to go there and I don't care if you also distribute to other region California. In the end market this is better for me, I'm good with it.
Nelson Ng: Okay, great. Thanks Luc.
Luc Desjardins: Okay.
Operator: Thank you. And our next question comes from Raveel Afzaal with Canaccord. Your line is now open.
Raveel Afzaal: Thank you for taking my question. I wanted to talk about the 2019 EBITDA guidance range. Is it possible for you guys to give us some more breakdown of that? I mean, how much EBITDA volatility could come from factors such as weather, changes in chloralkali cycle, any of the key factors that you could mention?
Beth Summers: I mean, I think, Raveel from our perspective when we – as you'd be aware, we forecast based on weather normal.
Raveel Afzaal: Okay.
Beth Summers: So from a weather perspective, I think, where we usually look at it is the weather differential, warm to cold is roughly 10 million to 20 million would be a reasonable range, thinking about the geographic diversity that we have within our business now. And then from the chloralkali perspective and again this gets back to some of the primary pressures on chloralkali are really linked to, from an oil and gas perspective on fracking, which we really, if you look at our chloralkali business, we only have roughly 10% exposure to the Canadian oil and gas on the fracking side, which is the primary volatility. So when we're looking at some of the potential increases on our chloralkali side, it's basically contracted volume, which we're comfortable with. So from our perspective on the chloralkali side, in the worst case side you're looking at negative 10 million type range.
Raveel Afzaal: Any range differences caused by, I guess, tuck-in acquisitions.
Beth Summers: Sorry, can you just repeat that Raveel?
Raveel Afzaal: Yes, sorry, with respect to that EBITDA range that you provided, is there some volatility from the low end to the high end also based on the number of tuck-in acquisitions, I guess that you complete?
Beth Summers: Yes, I think, from a tuck-in acquisition, I wouldn't think that there would be much of a change to the range.
Raveel Afzaal: Okay.
Beth Summers: Typically what you'll see for the smaller acquisitions is some incremental cost associated with doing the work to bring the acquisitions in, which somewhat offsets the potential EBITDA for the remainder of the year when an acquisition is finally completed.
Raveel Afzaal: [Indiscernible]
Beth Summers: Yes, and in addition to that, just as a highlight, when you're looking at the base, we don't build in anything other than those transactions that are closed. So anything is incremental on both sides. So the range itself right now wouldn't factor anything in for acquisitions.
Luc Desjardins: Most of the acquisition you do in the summer, people in the winter don't want to talk about acquisition and we don't want to talk about it either, we're busy, we’re just about servicing customers. So the deals get made from May to September. By the time you finish a deal there's only a quarter or so left.
Raveel Afzaal: Perfect, thank you. And just finally on this, with respect to the wholesale environment, what type of range are you expecting or forecasting within that EBITDA range?
Beth Summers: Yes consistent, we’re basically looking at results consistent with what we saw in 2018 and 2019.
Raveel Afzaal: Yes I meant in terms of the volatility that you could see resulting from changes in the wholesale environment.
Beth Summers: Yes, I think if you want to think about that, think of it in the range of $5 million then.
Raveel Afzaal: Perfect, awesome. Thank you so much.
Luc Desjardins: You’re welcome.
Operator: Thank you. And our next question comes from Joel Jackson with BMO Capital Markets. Your line is now open.
Robin Fiedler: Hi, this is Robin for Joel. Thanks for taking my questions. Can you comment on the underlying factors driving the forecast for reduced caustic soda exports this year? Is this mostly from the lower operating rates at the major Brazilian aluminum refinery or is there some more general demand weakness going on?
Beth Summers: Yes I mean the primary driver there, you're right, would be that Alunorte plant. And the assumption is that it will come back online, sort of in that second half. So we've forecasted volume pressure for the first half of the year and then assume some recovery moving into the back half of the year. But that is the primary driver on volume. You're correct.
Robin Fiedler: Okay, thanks. And you mentioned that the IFRS accounting impact will likely increase EBITDA by about 5%. Do you have a sense of the expected split between how it'll shake out between the two segments or is it fairly, fortunately consistent?
Luc Desjardins: You'd be more skewed on ERCO because of the…
Beth Summers: Rail cars.
Luc Desjardins: Rail cars.
Beth Summers: Yes so it would primarily be chemicals.
Robin Fiedler: Okay. Alright, t it for me. Thanks.
Operator: Thank you. And I am not showing any further questions at this time. I would now like to turn the call back over to Rob Dorran for any further remarks.
Rob Dorran: If there are no further questions, I would like to thank you for your participation in Superior’s 2018 annual and fourth quarter results call.
Beth Summers: Thank you. Bye. 
Luc Desjardins: Take care. Thanks.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program and you may all disconnect. Everyone have a wonderful day.